Operator: Greetings. And welcome to the Definitive Healthcare Fourth Quarter and Fiscal Year 2021 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, David Samuels, General Counsel of Definitive Healthcare. Thank you, David. You may begin.
David Samuels: Good afternoon. And thank you for joining us today to review Definitive Healthcare's fourth quarter 2021 financial results. Joining the call today are Jason Krantz, Definitive Healthcare’s Founder and CEO; and Rick Booth, Definitive Healthcare’s CFO and Robert Musslewhite, Definitive Healthcare's President. During this call, we will make forward-looking statements, including but not limited to statements related to our market and future growth opportunities, the benefits of our healthcare commercial intelligence solutions, our competitive position, customer behaviors, our financial guidance, our planned investments and the anticipated impact from the COVID-19 pandemic on our business and results of operation, as well as on our clients, the healthcare industry generally, and the macroeconomic environment. Any forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors section of our filings with the SEC. Actual results may differ materially from any forward-looking statements. The company undertakes no obligation to revise or update any forward-statements to reflect events that may arise after this conference call, except as required by law. For more information, please refer the cautionary statement included in the earnings release that we have just posted to the Investor Relations portion of our website. Additionally, we will discuss non-GAAP financial measures on this conference call. References on this call the profitability on an adjusted EBITDA basis. Please refer the tables in our earnings release on the Investor Relations portion of our website for a reconciliation of these measures to most directly comparable GAAP financial measure. With that, I’d like to turn the call over to Jason.
Jason Krantz: Thanks, David. Thank you everyone for joining us today for Definitive Healthcare’s fourth quarter 2021 earnings call. We ended a transformational year for the company with excellent fourth quarter results that reflect the significant momentum we have across all parts of our business. Our performance demonstrates the significant market opportunity for Healthcare commercial intelligence, which we are delivering through our comprehensive SaaS-based platform, our industry-leading datasets and our proprietary data science-based analytics. We are at the very early stages of a $10 billion and growing market opportunity and we believe that we're in a great position to generate strong growth and significant profitability for years to come. Let's start today by quickly reviewing our financial results for the fourth quarter and the full year, which reinforce our unique value proposition of high-growth, high profitability and visibility into the future. Starting with the fourth quarter, our total revenue was $46.3 million, which represents 38% year-over-year growth. And our adjusted EBITDA was $13.1 million, which translates into it 28% margin. For the full year, our total revenue was $166.2 million, which represents 40% year-over-year growth. Our adjusted EBITDA was $56.0 million, which translates into a 34% margin. And our unlevered free cash flow was $55.4 million, a 33% margin. We are extremely excited about our performance in the fourth quarter as we not only surpassed our growth target, but we continue to do so in a highly profitable manner, even with the additional burden of a full quarter of public company expenses and the significant investments that we continue to make in sales, marketing and product innovation. I'm now going to hand it over to our President, Robert Musslewhite to talk about some of the drivers of the success, as well as to highlight some key customer wins during the quarter.
Robert Musslewhite: Thanks, Jason. These fantastic results are driven by our unique ability to deliver the commercial intelligence that companies selling into the $4 trillion U.S. healthcare ecosystem, need to achieve better business results across a number of different use cases, from product development, to network expansion, to sales. Definitive Healthcare offers comprehensive and proprietary intelligence across the U.S. healthcare ecosystem, including healthcare providers facilities, claims and key opinion leaders. We've collected this proprietary set of intelligence from hundreds of thousands of sources for more than 10 years, and we've applied sophisticated data science and AI to cleanse and link all the data and ultimately deliver new intelligence to our customers via easy to use SaaS platform. Our proprietary, Definitive ID assigned unique identifier to every player in the healthcare ecosystem, from hospitals and physicians to payers and GPOs to map out relationships across the industry and informed commercialization strategies. As a result, our client can gain greater clarity and insight on the healthcare market that they then use to inform their most important high-stakes strategical and tactical decisions. The breadth and depth of the intelligence that our platform delivers can help customers across multiple critical areas of their business. First, we help our clients develop better sales and marketing strategies that enable highly targeted go-to-market campaigns that efficiently drive more revenue. For example, during its first year using our sales intelligence, one of our medical device customers expanded its market share in the urgent care market by adding more than 400 new customers worth more than $7 million in incremental revenue. Second, we help improve our clients clinical research and product development performance by connecting them with the right experts in the most effective clinical trial sites to make data-driven decisions throughout the product lifecycle. Bringing a new drug or medical device can cost billions of dollars and take anywhere from three to 12 years. Using commercial intelligence to help improve the success rate of our life science clients product development efforts is an immense opportunity for Definitive Healthcare. For example, in preparation for FDA approval of its drug, a pre-commercial biopharma company used our Monocl ExpertInsight product to successfully engage 90% of its targeted key opinion leaders, compared to a historical engagement rate of under 50%. As a result, this company received significantly more endorsements from the leading clinicians in its therapeutic area, greatly improving its chances of FDA approval and subsequent commercial success. Third, we inform our customer strategic priorities by providing detailed intelligence that can be used to identify and size market opportunities that represent the most attractive potential risk-weighted returns. For example, one orthopedic medical device customer used our commercial intelligence to determine that it's total available market opportunity was 30% higher than previously estimated, which it in turn used to justify incremental sales and marketing investments. Finally, we help our clients improve their talent acquisition efforts by identifying and recruiting the best candidates for jobs across the healthcare ecosystem. This is critically important for customers today, given the unprecedented stress facing healthcare workers and the worker shortages facing the entire industry. Recently, one of our customers in interim leadership and staffing company used our executive profiles and affiliation data to identify candidates who could fill vacant leadership positions and hospital facilities who needed those candidates. As a result this customer grew its lead funnel by 100 times, improved email open rates by five times, increased email response rate by four times and ultimately generated millions of dollars in new revenue. Looking at our fourth quarter performance, we continue to see very strong demand for our products across customer segments and use cases. During the quarter we continued to rapidly grow our enterprise client base, which are clients that generate more than $100,000 in ARR. I'd like highlight a few of these wins. To lead off in life sciences, we signed an enterprise deal with one of the world's largest manufacturers of COVID-19 vaccines. This company recently received U.S. FDA approval for its COVID vaccine. So it needed master data to populate its CRM and data warehouse as it built out the field sales team that will sell its vaccine directly to hospitals, physician groups and IDNs across the country. Also in life sciences, we signed a multiyear multiproduct deal with one of the world's largest genetic testing and gene therapy treatment companies. This company purchased our hospital data, physician data and commercial claims data, all of which will be used across multiple therapy areas and specialties. This company plans to use Definitive Healthcare Commercial Intelligence to do segmentation, customer profiling, CRM cleanup, sales force planning and territory alignment. Additionally, we signed our largest ever Monocl deal. This multiyear enterprise deal enables the medical affairs team at a global biopharma company to engage with all the right experts across all of its primary and secondary therapy areas. The Monocl product delivers up-to-date accurate data about a clinical experts most recent publications, clinical trials and speaking engagements, so that our clients medical science liaisons can effectively engage the expert to obtain scientific guidance prior to regulatory approval. In our provider segment we sign a multiyear enterprise deal with a multistate addiction treatment provider. This company plans to use our claims data to identify the top physicians who are diagnosing and treating patients with substance use disorder and then identify the hospitals where those patients are treated. This company will also use our contact data to populate both its salesforce and Marketo instances to create a single source of truth for all go-to-market activities and a plan to use the affiliations intelligence created through our Definitive ID to identify referral patterns and system leakage. Finally, we also won significant deals in other parts our business. We brought on the world's largest manufacturer of HVAC equipment which signed a multiyear contract with us to identify hospitals and other healthcare facilities undergoing major renovations which might need its equipment. We signed the largest financial services deal on the company's history with a major consumer financial services company, which will use our intelligence to identify physician groups that are good candidates for small business commercial loans. And finally, especially pharmacy companies subscribed to our unique combination of physician groups and claims data in order to understand prescribing patterns across all the doctors in an extended network, so it can improve business development and outreach strategy. We are excited about these wins across all parts of our business and look forward to working with these clients for many years to come. I'll now turn it back to Jason to talk about our product strategy and our relentless focus on innovation.
Jason Krantz: Thanks Robert. I'd like to shift gears now and talk about our product strategy. Our innovation flywheel continues to spin. In fact, as I have discussed before, the more that we build out our proprietary data and data science capabilities, the more this innovation accelerates and becomes more sophisticated. In the fourth quarter we launched Latitude Reporting, a new product that allows users to build in real time custom patient cohorts targeting specific disease states. With Latitude Reporting, users can quickly perform iterative analysis on real world data to gain actionable intelligence that accelerates their go-to-market strategy. Latitude Reporting is a critical proof point that demonstrates how we're delivering on our strategy to create disruptive industry-leading healthcare commercial intelligence. True intelligence is the combination of data, analytics and expertise and our launch of Latitude Reporting helps our clients use our extensive proprietary data to quickly get the answers they need to solve their most critical business problems. In addition, during the quarter, we added multiple new features across our product suite and expanded our data sets. A particular note, we added Asian expert data to our Monocl ExpertInsight product, giving medical affairs professionals access to more than 11 million worldwide expert profiles. In addition to our internal innovation, we are constantly looking for companies that we can acquire, that can provide us with a new data set or a new capability that will accelerate this innovation. Companies where we can strengthen our product platform and leverage our significant sales organization and exceptional client base to drive commercial synergies. One of those companies is Analytical Wizards, whom I am excited to announce today that we recently acquired. Analytical Wizards, an industry leader in delivering technology-enabled advanced analytics to life sciences companies is used by six of the top ten global pharmaceutical companies and four of the top seven global biotech companies. Analytical Wizards bring several exciting capabilities to the Definitive Healthcare platform and is indicative of our discipline approach to acquisitions. First, it deepens our analytical capabilities for the life sciences market, not only allowing us to attract new customers more quickly but importantly it also broadens the solution set that we can sell to all customers, new and existing in this strategically important vertical. Second, the acquisition provides us with a new data agnostic suite of solutions that expands our total addressable market. With the Analytical Wizards SaaS product line, customers can combine data from multiple sources including Definitive Healthcare and then run detailed analytics on demand to gain new intelligence on product planning, marketing promotion and product performance. Third, Analytical Wizards expands our reach across the entire life sciences commercialization cycle, from discovery and development, all the way through post-launch sales and marketing. Similar to how our acquisition of Monocl extended our capabilities into medical affairs, Analytical Wizards further extends our reach into both treatment pathway analytics and commercial marketing optimization. The acquisition brings to Definitive Healthcare more than 100 new employees, most of whom are highly talented developers and data scientists with deep subject matter expertise. Also with offices in the U.S. and Bangalore, Analytical Wizards gives us a presence in India to leverage the extraordinary technological and artificial intelligence talent in that great country. Analytical Wizards is a great example of the type of acquisition that we will pursue. We'll bring our existing proprietary data to their analytics suite, which will immediately raise the value of their offering. And we will bring Analytical Wizards proprietary analytics solution to our customers, which will accelerate their growth. This acquisition also accelerates the timeline of our internal product roadmap and further feeds our flywheel of innovation, thus extending our market leadership and competitive mode even more. We are excited to welcome the Analytical Wizards team to Definitive Healthcare and build on the great success they have already achieved. As we look ahead to 2022, we remain incredibly excited and believe we're at the very early stages of a multi-billion dollar market opportunity that will enable us to deliver consistently strong growth and high profitability. Our plan in 2022 is to continue executing on the core priorities that have driven our success to date. First, we will continue to make significant investments in our sales and marketing capabilities growing our team and expanding our marketing reach. As a relatively young company in an emerging category, it is imperative that we increase awareness of the Definitive Healthcare brand and the unique value we deliver. We've identified more than 100,000 potential customers for our solutions and we have less than 3,000 customers today. So the opportunity to expand our customer base and in particular our enterprise customers is vast. In addition, we'll continue to invest in and focus on our powerful land and expand selling model. We believe there's an opportunity to significantly grow our relationships with our existing customers by expanding usage of the current modules they are using and selling additional modules. Finally, we will accelerate our pace of innovation. We have a passion for solving some of the most challenging business problems facing our customers. With the Definitive ID, as a strong foundation of our proprietary data hub, we can innovate quickly and deliver new forms of commercial intelligence to our customers. We will continue to invest in the very best data to strengthen our platform. We will continue to apply even more sophisticated data science NAI to that data and we will build out new modules to help our clients leverage this powerful intelligence in their workflow. The investments we make this year are the critical building blocks for future growth. I would like to wrap up by reiterating how pleased we are with our performance in the fourth quarter, as well as a full year and our excitement for the future. We believe we have built a differentiated and highly valuable platform that is becoming increasingly strategic to our customers. We are confident in our ability to continue delivering strong growth and profitability for years to come as we execute on our growth strategy. With that, let me turn the call over to Rick to review our financial results in more detail. Rick?
Rick Booth: Thanks Jason. Q4 was a strong quarter, highlighted by continued rapid revenue growth and strong profitability. Since today is only our second earnings call as a public company, I'll start with a quick overview of our business model from a financial perspective, then provide a detailed review of our fourth quarter and full year 2021 results. And finally finished with our outlook for the first quarter and the full year 2022. In all my remarks, I will be discussing our results on the non-GAAP basis unless otherwise noted. To me, Definitive demonstrates many of the best attributes of the vertical software business model, where a high-growth subscription business selling into a $10 billion and growing total addressable market with low single-digit market penetration. We have excellent forward-looking visibility through our predominantly multiyear contracts and high net dollar retention rates. We operate profitably due to high gross margins in a very efficient customer acquisition engine. We innovate efficiently and effectively due to our ability to build upon our proprietary data assets and data science platform. And finally, upfront billings and low requirements help us translate our profits efficiently in the cash flows and shareholder value. Our Q4 results illustrate how this business model plays out in practice. Highlights include 38% revenue growth compared to Q4, 2020, 28% adjusted EBITDA margin, 33% unlevered free cash flow margin over the prior 12 months and our revenue growth plus trailing 12 month unlevered free cash flow margin was 71%, putting us well above the Rule of 40. For the full year, we reported 40% revenue growth compared to full year 2020, 34% adjusted EBITDA margin and 33% unlevered free cash flow margin. We believe Definitive's combination of high-growth, high visibility and attractive profitability positions us well in current conditions and for many years to come. Turning to our results in more detail. Revenue for the fourth quarter was $46.3 million, up 38% from prior year and 4% above the midpoint of our guidance. Revenue for the full year was $166.2 million, up 40% from 2020. This performance is driven by strong organic innovation and execution, as pro forma organic revenue growth was 37% in Q4 and 36% for the full year. This pro forma calculation assumes we owned Monocl in the same period during the prior year. This methodology is a small refinement from how we discussed inorganic contribution from acquisitions in Q3 where we excluded Monocl entirely from our organic growth calculations. We will use the new pro forma organic growth approach going forward in those periods in which we discussed the revenue contribution of acquisitions. Our revenue growth continues to be driven by strong sales momentum, particularly among enterprise customers. We ended the quarter with 417 enterprise customers, which we define as customers with at least $100,000 of annual recurring revenue. This was an increase of 123 customers were 42% year-over-year and up 40 enterprise customers from the preceding quarter. As a reminder, enterprise customers represent the majority of ARR and they our key focus of our go-to-market programs. Our total customer count, which includes smaller customers was 2,865 at the end of Q4, up from 2,577 in Q4 2020. We also had a strong quarter and year up selling into our existing customers, which is a core component of our growth strategy. Our overall net dollar retention rate of 108% was up 300 basis points from 105% in the prior year. And our enterprise NDR rate for the full year was again above 120%, reflecting the success of our land and expand strategy. We have best-in-class gross retention rates among enterprise customers and multiple avenues to increase their spending with us over time through the adoption of additional modules and expanding usage to additional users and new areas within their organizations. Gross profit was $40.7 million, up 34% from Q4 2020 and our gross margin of 88% was down from 90% in Q4 2020 due to growth investments to add prescription claims data. Prescription claims data represents a significant opportunity to innovate and expand our upsell opportunity within life sciences and we expect to realize operating leverage from these investments over time as we did with medical claims information. Sales and marketing expense was $15.9 million, up 50% from Q4 2020. As a percentage of revenue, sales and marketing expenses were 34% of revenue, up from 31% in Q4 2020. We're committed to investing for growth specifically expanding our digital marketing capabilities and building out our sales and customer success teams. We have a highly efficient and scalable go-to-market model within LTV to CAC of more than 10 times, and will continue to invest incremental resources into our growth initiatives to capture more and more this $10 billion market for as long as we continue to generate strong returns on those investments. Product development expense was $5 million, up 46% from Q4 2020. As a percentage of revenue, product development expense was 11% of revenue, up from 10% in Q4 2020. Investing in our platform and using our existing data sets to launch or enhance multiple products is a highly effective and efficient way for us to increase the value we deliver to customers. We will continue to invest in our product development efforts given the number of exciting opportunities we've identified on our long-term product roadmap. G&A expense was $7 million, up 88% from Q4 2020 when we were a private company. As a percentage of revenue, G&A expenses were 15% of revenue, up from 11% in Q4 2020. The increase in G&A expense reflects the first full quarter of incremental public company expense and we expect the annualization of these largely fixed costs will impact margins in the early part of 2022, but we will gain operating leverage throughout the upcoming year and beyond. Operating income was $12.3 million, down 1% from Q4 2020. As a percentage of revenue, operating income was 26% of revenue compared to 37% in Q4 2020. The year-over-year change in margin is related to three key investments. First, 300 basis points of continued investment in sales and marketing. Second, 300 basis points of innovation investments in prescription data and development. And third, 400 bps of increased G&A cost required to operate as a public company. As we face our first full quarter of these largely fixed costs, we will experience operating leverage in G&A going forward. Adjusted EBITDA was $13.1 million, up 2% from Q4 2020. As a percentage of revenue adjusted EBITDA was 28% of revenue compared to 38% in Q4 2020. The change in EBITDA margin is due to the same investments, which I described impacting operating income. Net income in Q4 was $6.5 million or $0.04 per diluted share based on 150.9 million weighted average shares outstanding. It's important to note that net income was impacted by a $700,000 non-GAAP tax effect for transaction-related expenses. Without that item and our secondary offering, net income would have been 6.9 million, and earnings per share would've been $0.05 both at the high end of our guidance range. Turning to cash flow. Definitive's high margins, upfront billing and low CapEx requirements provide substantial free cash flow generation. We focus on trailing 12-month cash flow due to seasonality. Historically, our cash flow has been strongest in Q4 and Q1 due to the timing of year-end invoicing and we expect that trends to continue. Operating cash flows were $25.2 million on a trailing 12-month basis, up from $23.2 million in the comparable period a year ago and on a trailing 12-month basis unlevered free cash flow is $55.4 million or 33% unlevered free cash flow margin, converting essentially all of our full year adjusted EBITDA of $56 million into cash. We ended the quarter with $387.5 million in cash, reflecting $243 million of net proceeds from our secondary offering in November. And with only $270.7 million of debt and strong profitability, we're well positioned to fund both organic and inorganic growth initiatives. Even after the acquisition of Analytical Wizards, we have over $330 million of cash on the balance sheet. We view our strong balance sheet and our ongoing profitability as strategic assets in today's dynamic environment, which position us well both today and for years to come. As Jason mentioned, we were pleased to complete the acquisition of Analytical Wizards on February 18th for a total of $100 million in cash, $65 million of which was delivered after quarter end. They're a perfect fit for our tuck-in M&A strategy and we have a clear value creation thesis. We will bring our proprietary data to their analytics platform and their proprietary analytics to ours. We'll leverage our best-in-class sales and marketing engine to accelerate their growth and we will accelerate product innovation across both platforms. The financial impact of AW is expected to be modest in the short term, to contribute highs single-digit millions of dollars of revenue in 2022, with growth rates slightly accretive to our own. And their adjusted EBITDA is projected to be several million dollars negative in 2022, but will operate at attractive profitability in 2023 and beyond. I'd like to wrap up by providing our guidance for the full year 2022 as well as the first quarter. Guidance is based on our bottoms up operating models and excludes any new M&A other than Analytical Wizards and excludes any changes in capital structure. In general, to the extent we over perform on revenue, we will often seek to reinvest upside in incremental growth opportunities rather than maximizing short-term profitability, although that will vary from quarter to quarter. For the full year 2022, we expect total revenue of $218 million to $222 million for median growth rate of 33% and this includes a revenue contribution from Analytical Wizards in the highs single-digit millions of dollars, non-GAAP income from operations of $57 million to $63 million, adjusted EBITDA of $61 million to $67 million, for a full year median margin of 29% and non-GAAP net income of $35 million to $41 million and earnings per share of $0.22 to $0.26 on $155.5 million weighted average shares outstanding. Our guidance for 2022 reflects approximately 450 bps of investment relative to full year 2021, which is composed of approximately 150 bps of incremental growth investments in our core business, just over 200 bps from the short-term margin impact of Analytical Wizards and just over 100 bps in the G&A costs required to operate as a public company. Because we're making these investments late in 2021 and early in 2022, you will see a steady increase in EBITDA run rate profitability as we move through the year. With Q1 EBITDA margin of 26%, building to over 30% by a year end for an average of 29% for the year. In Q1, we expect total revenue between $47 million and $49 million for a median growth rate of 29%, non-GAAP income from operations of $10 million to $12 million, adjusted EBITDA of $11 million to $13 million and non-GAAP net income of $4 million to $6 million or $0.02 to $0.04 per diluted share on 155 million weighted average shares outstanding. So to summarize, 2021 was a great year for Definitive Healthcare and we're well positioned to carry that strength into 2022. We've developed a clear leadership position in a large and attractive market that we believe will support high levels of predictable revenue growth and profitability for the foreseeable future. We believe we've built a unique business that can deliver strong growth at scale and do so in a capital efficient manner. We feel very good about the opportunity Definitive Healthcare has to become a much larger, more valuable business for our shareholders over time. And with that, we can open the call for questions.
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions]. Our first question comes from Sterling Auty with JPMorgan. Please proceed with your question.
Unidentified Analyst: Hey, this is Doug on for Sterling. Thank you for taking my question. Can you talk about the penetration levels of the most popular modules within your customer base?
Jason Krantz: Sure. Thanks Doug. It's Jason Krantz. So, the way that we look at modules, overall we have 16 modules that we can sell to our existing clients. So, our strategy as you know is really about land and expand. So we bring our clients on and then over time we apply our account executives and customer success team to increase our modules within there. That module account has increased too since we last talked to you all and that's due to the launch of Latitude Discovery and Latitude Reporting. So, when we bring out a new client today they bring on -- we bring them on typically with just over two modules that they purchase and then we continue to expand over the course of the life with those customers. What you'll see is if you look at different segments of our customer base, you see different levels of penetration. So our life sciences companies over time should buy every one of those modules. So as we continue to launch new modules and increase the amount of things that our clients can buy, we should be able to sell all of those to our life sciences clients. Our healthcare providers which is also a big opportunity market for us should buy the vast majority of those modules. And then, with the rest of our customers, our healthcare IT customers and our diversified customers, it depends a little bit on the markets that they're selling into. But typically speaking, they should be able to buy seven or eight of those modules over time.
Unidentified Analyst: Great. Thank you so much. And then as a follow-up to that. Can you discuss how much of the growth in this quarter came from upsell and cross-sell versus new logos?
Jason Krantz: Sure. Roughly speaking, our historical average is about 66% of our growth is from new logos and 33% of our growth is from upsells. So that's been pretty typical for the last several years and has been pretty typical in the last year as well.
Rick Booth: And of course, Jason's referring to the growth in ARR, one of the great things about this business model is our exceptional forward-looking visibility. So in any given quarter, you'll see virtually the entirety of new revenue growth coming from existing customers, because at the beginning of the year we have 90% visibility to the full year results. So, in times like these, nice to have that long-term visibility.
Unidentified Analyst: Great. Thank you so much.
Operator: Thank you. Our next question comes from Craig Hettenbach with Morgan Stanley. Please proceed with your question.
Craig Hettenbach: Yes. Thanks. Have a question on Analytical Wizards and appreciate all the disclosure and discussion in the prepared remarks. Jason, you've talked about having a good pipeline for M&A and being disciplined. Can you just touch on why this is the right deal to do it at this time? And then also how you think about retention of key employees and any potential new customers that they bring to Definitive?
Jason Krantz: Yes. It's a great question, and I'm glad you asked. Analytical Wizards is incredibly exciting. It really fits squarely into the acquisition strategy that we've laid out with all of you and we continue to pursue. So when we acquire a company, we're really looking for two things. We're looking for product synergies where we can bring our data into their capability and immediately improve that capability. And then secondly, we're looking for commercial synergies, where we're able to take the product and platform that they have and accelerate their growth by pushing it through our very large sales force and our extensive client relationships. Analytical Wizards is really hits both of those perfectly. So, we're going to be able to expand our capabilities and immediately make that product better by pushing Definitive Healthcare data into it. It also expands our TAM, because now we're able to bring in due to their data agnostic posture, we're able to bring in third party data as well as internal data and combine that with the Definitive Healthcare data to immediately make their solution extraordinarily powerful. And they have a very small sales team so far. So being able to push their product through our very large sales force is going to be a great way to accelerate their growth. From a financial standpoint, while they're slightly negative from an EBITDA standpoint as Rick mentioned, they have fantastic unit economics and we expect over time that they can reach similar EBITDA levels as Definitive. So, it's really, it ticks all the boxes that we're looking for. In terms of making sure that we retain employees, obviously that's very important. We look to significantly grow their employee base. We're very excited about the opportunity to have access to the extraordinary talent in Bangalore. So we're going to be investing heavily. And they have a great culture that fits really well with what we've done, where we focused on creating a great environment, where people have the opportunity to develop and grow with the organization. Just as an example, we promoted almost 100 people at the beginning of this year out of our 700 employees. That's the type of environment that we're bringing people in and we're excited to bring the Analytical Wizards employees into that type of growth environment.
Craig Hettenbach: Got it. And then just as my follow-up. When you talk about kind of the reinvestment into sales and marketing and making sure your customers are aware of all the capabilities you have. In the context of customers starting with just over two modules, and understandably, its higher in life sciences, but they could be -- have the complete set. What are some of the things from a sales perspective? How you're going to measure the salesforce success in terms of their ability to upsell? And any kind of traction that they're seeing to drive that higher?
Robert Musslewhite: Sure. Hey, this is Robert. And we're extremely metrics driven, so we're looking at these types of things all the time. I think the good news for us in terms of thinking about continuing to invest in sales and marketing is that all of our markets are growing quickly. We have a lot of opportunities to deploy additional focus. And so, at our very strong sales efficiency which Rick mentioned, which is an LTV to CAC ratio of 10x, we want to continue to deploy investment against the right places in sales and marketing. I'd say a couple places to your question where we see really, really strong opportunity and maybe outsized growth in providers and life sciences. And providers, it's a relatively nascent market for us. We haven't put a lot of focus there historically, but we're seeing a lot of growth through sales efforts. And so, we're continuing to add resources there. The other one is, obviously, our critical life science market, really focusing especially on mid to large pharma where we see tons of opportunity. And now with Analytical Wizards on board and some of the modules that Jason talked about, a lot of opportunities to expand there. So, you mentioned number of modules per client, which of course we look at. But we also look at all the basics like conversion rates, average value per customer, growth by segment and growth by size within segments. So we're monitoring these all the time to be sure we're deploying the investment appropriately to drive the maximum growth.
Operator: Thank you. Our next question comes from Kash Rangan with Goldman Sachs. Please proceed with your question.
Kash Rangan: Hi. Thank you very much for taking my question. Congrats on wrapping up the year with the spectacular Q4. Jason, curious to get your thoughts on the strategic evolution of the company. You made this amazing acquisition which has an analytic layer on top of your core data set. If you look at your friends across the other side of the country at the ZoomInfo, they have definitely taken that data centric approach and built layers of engagement, intent, et cetera, and really evolving that business into I shouldn't say a CRM company, but a more customer-centric, engagement-centric model. How do you see the evolution of Definitive Healthcare if you believe that that's the way to go? Or do you have a different way in which you want to evolve the strategic direction of the company, and as regards to the way in which you want to engage with your customers? Thank you so much.
Jason Krantz: Sure. So, I think it's really -- as we think about innovation, which is really what this is all about. It's absolutely core to everything that we do. Innovation drives our double-digit, ACV growth for new logos every year, it helps us increase our retention and it increases our competitive mode. So, as you think about the areas that we're innovating and how Analytical Wizards fits into that. First and foremost, we're innovating always in building out our proprietary data asset. At the foundation, what we built over the 11 -- last 11 years of having the entire ecosystem of healthcare providers laid out and connected through our Definitive ID is extraordinarily proprietary and creates a tremendous opportunity for us to continue to apply data science to create new insights and analytics for our clients and also to utilize this data in new and unique ways for our clients. So there's a big investment where we're constantly pulling in new data to make that platform stronger and drive new insights for our clients. A good example of that is our data science team today is working on what we call a physician prescribing influence score. And this data science allows us to go through our intelligence that we've built up over the last 11 years and utilize that to figure out which doctors actually influenced new prescriptions versus the ones that are just involved from a maintenance and refill process. So, once we've developed this data then it's all about how do we use this. So we're constantly building new analytical workflows internally to help our clients utilize this data in the most effective way possible. So these are front-end workflows that meet their exact needs. These are integrations with CRM systems like salesforce and Veeva and Marketo. And Analytical Wizards is just another extension of that. So how can we utilize this amazing and proprietary data platform that we've created to help our clients solve new problems, and Analytical Wizards allows us to solve an increasing number of problems for mid to large size pharmaceutical companies.
Kash Rangan: Wonderful. And one follow-up for Rick. As you take on acquisitions, I guess the scale of the company allows it to absorb more of these tuck-in acquisitions more and more efficiently. At what point will we be able to do it with no hit to the operating margin trajectory of the business? Maybe that takes a few more tries or maybe a few more years, but wondering how we should think about the ability of the company to absorb acquisitions at scale? Thank you so much.
Rick Booth: It's a great question and it's really a trade-off of capital efficiency versus reported profitability in the very short term. Our strategy is to go after the very best tech and to go after it early. That means that quite frequently we'll have a small amount of negative EBITDA in the short term, but a creative long-term growth and a powerful ability to marry their tech with our sales people. And in the case of Analytical Wizards their analytics with our proprietary data, really just as we saw with Monocl. This has the potential to be a fantastic acquisition. I would like to clarify in case there is any confusion. We're essentially right on track with our organic profitability and accelerating organic growth vis-a-vis what we talked about in the Analyst Day and the IPO and absorbing a small amount of dilution from Analytical Wizards.
Kash Rangan: Wonderful. Thanks for the insights.
Operator: Thank you. Our next question comes from Saket Kalia with Barclays. Please proceed with your question.
Saket Kalia: Okay, great. Hey, Jason, hey, Rick. Thanks for taking my questions here. Jason, maybe just to start with you, just super high level. But as you sort of look at the U.S. healthcare landscape here in 2022, are there are there any changes or anything that you see in the horizon that could be particularly impactful for demand? And I'll leave that sort of intentionally open-ended, because I'm kind of curious how you think about just any industry changes vis-a-vis demand for Definitive?
Jason Krantz: Yes. There's a lot of changes that are taking place that are all great tailwinds for Definitive. I think one of the biggest ones is the continued use of data in terms of digitization of healthcare overall. So, there's a lot of challenges for people that are selling into healthcare. There's less access than they've ever had before to physicians and hospitals. And that's a real advantage and a real tailwind for Definitive Healthcare. It requires companies to be much more focused and know much more about their prospects before they go have a conversation to make sure that their message hits every single time. The other thing it does is the timing of all interactions with companies is becoming with physicians and hospitals becoming increasingly important. And we help our clients not only figure out when they segment their market, who are the most important physicians to go after, but what's the right timing of that. So we look at things like historical affiliations. And when are those affiliations changing over time and how does that create opportunities for our clients. We're the only people that have mapped all that out with the Definitive ID and we're the only people with that longitudinal data over time in order to answer those important questions for our clients. So we see that continued move towards data and leveraging that is a real tailwind for us going forward.
Saket Kalia: Got it. That makes a lot of sense. Rick, maybe my follow-up for you. Now, it's great to see that the net dollar retention continue to increase. Can you just talk about that a little bit? And maybe as part of that, what modules you're maybe particularly excited about for continuing to drive that up? Does that make sense?
Rick Booth: Absolutely. I have to manage time in terms of the modules I'm most excited about. But what you're seeing and we've got this illustrated in the investor deck is a long-term secular trend of NDR going up and to the right. So, we believe that can continue to progress at least for the foreseeable future. And it's driven in large part by world-class enterprise NDR, 120% [ph] in fiscal 2021. And so, as that continues to expand as a percentage of the base that will be the greatest driver of long-term NDR.
Saket Kalia: Very helpful. Thanks guys.
Operator: Thank you. Our next question comes from Jalendra Singh with Credit Suisse. Please proceed with your question.
Adam Watts: Hi. This is Adam on for Jalendra today. Thanks for taking the question and congrats on the quarter and the acquisition that you guys have completed. Maybe I'll start with just a more of a high level one, but definitely appreciate the color on the new customer win both this quarter and last quarter. I was wondering if you could just touch on the sales cycle for some of these significant wins. How quickly they were able to be converted? And then, maybe how many other vendors if any were considered besides Definitive?
Robert Musslewhite: Sorry, I missed the very end of your question there. This is Robert.
Adam Watts: Yes. I was just wondering if like how many other vendors were included as part of the sales cycle for these new customer wins?
Robert Musslewhite: Sure. So our new sales -- our sales cycles tend to range in roughly 90 to 120 days. Obviously, there can be some exceptions to that, but in general that's how long it'll take. And I'd say, what's really great about Definitive is many of our clients will use other data vendors, but it's not a replacement, it's an ad. We have such distinctive data and unique data that in many cases clients will choose to use us along with others.  So certainly, there's times where we're competing against someone or the other, but I think in many cases even if there's someone else there, the client will choose to go along with Definitive regardless of what they decide with the other vendor. So that's been a really nice part of the sales strategy here, which is every single potential client out there is a sales opportunity regardless of who else they're using.
Adam Watts: Got it. And then as a follow-up. I'm looking at the earnings presentation. And looks like slide number 11 shows, around 33,500 active users on the platform. Slightly down compared to the 34,000 users are disclosed as part of the 3Q 2021 earnings. I know, it's not a metric you got to guide to anything like that. But I was just curious if you can help me bridge that metric and bridge that with the new customers and the revenue growth that you've been experiencing?
Jason Krantz: Yes. I'll answer that one. This is Jason. So, the active users that's indicated there is all about just people that are utilizing the online platform. What that does and measure, because we lose visibility into it is all of the integrations that we're doing with internal systems, whether it would be a salesforce or a Veeva or a Marketo. That's been a big focus of ours over the last couple of years. We have found that clients are far stickier, once they've integrated into their internal system. So we put a lot of emphasis on that once clients come in to make sure that they get fully integrated and that's not picked up in that step.
Adam Watts: Got it. Very helpful. Thank you so much.
Operator: Thank you. Our next question comes from Brian Peterson with Raymond James. Please proceed with your question.
Brian Peterson: Hi. Thanks for taking my question. And just one for me. So, Jason you mentioned a couple of big wins, one with an HVAC provider, one with financial services providers, kind of outside of the traditional kind of healthcare landscape. I'm curious, where are you landing with these customers in their kind of digital or data driven go-to-market motion? Has that gotten earlier in that kind of go-to-market motion? And I'd be curious, what are the sizes of those deals kind of versus your expectations? Thank you.
Jason Krantz: Yes. So we sell into four markets. As you know we sell into life sciences, healthcare providers, healthcare IT, and then what we call diversified companies, which are companies that sell into many industries including healthcare. Diversified is where those two would fall in. It's been a fantastic market for us. I think what you have is people are realizing healthcare, it's one out of every $5 that is spent in the U.S. is $4 trillion. So, a lot of companies are looking for how to sell into this market. And what they're finding is, it's a very, very complex market to sell into. You really need to sell into the entire ecosystem and it's very different than the motion they're used to in different industries. And that's where we come in. We help them map that out and we help them identify paths to success commercially. So that's been a great growth market for us over the last few years and we expect that to continue. In fact, we're adding a significant sales team to that this year. In terms of price point. If you look across those four segments, our life sciences has the largest average price followed by our providers. But our HCIT and our core is continuing to grow significantly year-over-year. So they're slightly lower ACV for new logos, but we're seeing significant growth year-over-year as we find new ways to add value to those clients.
Brian Peterson: Good to hear. Thank you.
Operator: Thank you. Our next question comes from David Grossman with Stifel. Please proceed with your question.
David Grossman: Thank you. I was wondering if I could go back to an earlier question about retention. You describe some pretty significant investments in sales and marketing and other areas. And I think you mentioned 120% plus net retention on your larger customers. Can you maybe share with us how that compares to the 2020 number? And perhaps even some color on kind of how you thought about retention in providing your 2022 guidance?
Robert Musslewhite: Sure. This is Robert. Thanks for the question. It is down from the 2020 number slightly. So I think it's 124 compared to 120. Again, that number we look at it as anywhere in the 120s range is incredibly good and continues to grow our really important enterprise base and drives up our overall NDR's Rick commented on earlier. That's a place where we focus a ton. And if you look at that segment, the enterprise segment and look at the growth in 2021, it's 42% customers added in that segment. And they now comprise 57% of our ARR. And so, that segments incredibly important. As we look forward, we'd expect to be in that 120 range perhaps growing slightly depending upon when bigger upsells tend to fall. And again, that'll continue to drive up our overall NDR rate slightly and that's how we think about the business going forward.
Rick Booth: Yes. And in the details in there was also in Q4 2020, there was a few exceptionally large renewals. And so in any given quarter, any given snapshot of time you're going to see some ups and downs as we get larger it steadies out. But we're very pleased with 120 on a go forward basis. And we feel that we can continue to maintain or even improve that slowly over time.
David Grossman: Got it. And thank you for that description by the way. And then just one question on the margin. It sounds like again some pretty substantial investments just around the IPO and afterwards. And you talked about improving margins as we go through 2022. So, with that in mind, is it fair to assume that margins at least for the forecastable future have kind of bottomed -- over bottom in 2022 and we should think of that as the base to build upon in future years?
Rick Booth: Absolutely. And this is very consistent with -- if you recall the discussion in last quarter's earnings call and in the IPO, how in the short term you're dealing with the largely fixed costs of public company costs, which are which are certainly a drag especially in the beginning part of the year. And then given our operating metrics we have high confidence that the measured incremental investments that we're making in sales and marketing and product development will drive growth for years to come. And I think you see that starting to be reflected in the guidance in 2022.
David Grossman: Right, great. Very good. Thank you.
Operator: Thank you. Our next question comes from Glen Santangelo with Jefferies. Please proceed with your question.
Glen Santangelo: Yes. Thanks. I also just wanted to follow-up with a quick question, Rick on the margins. And I apologize to make you repeat yourself. But when I think about that 25% margin in the first quarter that's down over 300 basis points sequentially. Did I hear you say that that the Analytical Wizards acquisition was a 200 basis point impact, and the other 100 basis points were coming from an incremental investment in sales and marketing? Is there anything else that we should be thinking about? Or is that to follow-up to that last question is one queue the appropriate jump off point to think about the rest of the year at that level?
Rick Booth: So the bridge that I provided in terms of the dips of investment was for full year and there's more moving pieces in Q1. We accelerated our sales and marketing hiring, so that we enter the year with tremendous momentum. I think the most important takeaway in terms of profitability is our fast and significant improvement in profitability as we go through the year. So exiting at the end of Q4 with a run rate over 30%, which combined with our revenue growth is really best-in-class unit economics. So we're very focused on that.
Glen Santangelo: Okay. Thanks. If I could just ask a question around the balance sheet. I think I heard you say at the end of that acquisition after you paid the cash for analytical wizards you're left with $330 million. And so Jason, I guess, the question to you is, is that a level that you're sort of comfortable with? Because if I'm not mistaken I think the company has a lock up expiring next week. And I'm just curious what you think about the current cash levels amidst the investment opportunities you see in the marketplace. And I guess, I'm assuming there are no plans or intention of selling stock down at this level.
Jason Krantz: Yes. So, we're excited about the fact that we have a nice cash balance. I think we've driven growth over the last 10 years primarily organically and we will continue to have significant organic growth. We've got an amazing internal product pipeline, that's fantastic. But as you've seen with Monocl and now Analytical Wizards, there's spectacular opportunities out there for us to complement that organic growth with tuck-in acquisitions where we can increase capabilities and accelerate their growth. So, we will continue to be looking for great opportunities like Analytical Wizards and Monocl to continue to accelerate that growth. But I will say, we'll be extremely disciplined on our acquisitions as we have in the past. So we only want companies where we can meet our two criteria, which is we can add data to their product to make it more valuable and we can accelerate their growth by leveraging our commercial capabilities as well as our existing client base. So we'll be aggressive, but we'll be very disciplined in that approach.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Jason Krantz for any closing remarks.
Jason Krantz: Yes. So once again I just want to say thanks for the time everyone and the support. We're really excited about the quarter that we have and we're excited about the long-term growth of the company. As we've talked about for us, this is about building 10 years of long-term sustainable profitable growth. And I think based on the market that we have our competitive mode and the things that we're doing both internally as well as inorganically we see no reason that we won't capitalize on that. So thanks again for the time and we look forward to hearing from all of you.
Operator: This concludes today's conference you may disconnect your lines at this time. Thank you for your participation.